Operator: Hello, everyone, and welcome to the Ameris Bancorp First Quarter Earnings Conference Call. My name is Bruno, and I'll be the operator of today. [Operator Instructions]. I will now hand over to your host, Nicole Stokes, Chief Financial Officer. Nicole, please go ahead.
Nicole Stokes: Thank you, Bruno, and thank you to all, who have joined our call today. During the call, we will be referencing the press release and the financial highlights that are available on the Investor Relations section of our website at amerisbank.com. I'm joined today by Palmer Proctor, our CEO; Jon Edwards, our Chief Credit Officer; and Mike Spingler, our Treasurer.  Palmer will begin with some opening general comments, and then I will discuss the details of our financial results before we open up for Q&A.  Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We list some of the factors that might cause results to differ in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as required by law.  Also during the call, we will discuss certain non-GAAP financial measures in reference to the company's performance. You can see our reconciliation of these measures and GAAP financial measures in the appendix to our presentation.  And with that, I'll turn it over to Palmer for opening comments.
Palmer Proctor: Thank you, Nicole. Good morning, everyone. I appreciate you taking the time to join our call today. On our last earnings call, I remind everyone, how our discipline has really positioned us well for 2023 also mention the importance of teamwork and our ability to stay focused on core fundamentals and that message couldn't have been more timely just 5 weeks later, we faced the banking disruption, where the value of balance sheet and stable deposit ages are really proven the importance of core banking relationships here at Ameris.  We actually saw deposits grow from March 10 through the end of the quarter. For the first quarter, we reported net income of $60.4 million or $0.87 per diluted share.  Included in this is a $50 million provision for credit losses, which we were proud to have the ability to use strong underlying earnings to build the reserve, due to our economic forecast, which specifically reflects declines in the CRE and home price indices over the next few quarters, which are primary loss drivers for our CECL model.  But I think, it's important to note that this provision was driven by our forecast model and not related to any credit deterioration in our loan portfolio.  In fact, our credit metrics actually improved this quarter, which was evidenced by a stable NPA ratio and lower watch list loans. After the provision this quarter, our reserve for credit losses, excluding unfunded commitments represented a healthy 121% coverage ratio and 285% of net NPAs.  Our pretax pre-provision ROA was 2.07% for the quarter, once again above our target of 2% and improvement from the 2.01% PPNR ROA in the first quarter of last year.  Nicole is going to talk to you in a minute, about the margin details, but I did want to mention that we are still remaining above up here at 3.76%, and our discipline around expenses allowed us to operate at a top peer adjusted efficiency ratio of less than 52%.  Our capital position remains strong. We grew tangible book value again this quarter by over 11% annualized to end of $30.79 per share.  We're constantly reminding ourselves of the importance of discipline and the ability to remain focused on things we can control.  And because of this, we feel prepared for the future, with some of the main drivers being, when you take a look at our franchise value, the diversification we have among business lines and geography with 70% of our net income coming from the core bank and also the solid core deposit base that we have with a low level of uninsured uncollateralized funding, which is at 29.5%.  And then, we've clearly got a prudent culture of expense control and solid capital and liquidity positions.  And most importantly, when you look at where we're positioned with our bankers in the top southeastern markets, that, in and of itself, allows us to have a lot of confidence, as we move through the remainder of this year and into next year.  I'll stop there now, and turn it over to Nicole to discuss our financial results in more detail.
Nicole Stokes: Great. Thank you, Palmer. As you mentioned, for the first, we're reporting net income of $60.4 million or $0.87 per diluted share.  On an adjusted basis, when you exclude our gain on BOLI proceeds this quarter, we earned $59.9 million or $0.86 per diluted share. Our adjusted ROA in the first quarter was 97 basis points, and our adjusted return on tangible common equity was 11.41%. And remember, these are both after the $49.7 million provision expense. So as Palmer mentioned, on a PPNR basis, we were above 2% at 2.07% PPNR ROA.  Our tangible common equity ratio was 8.55% at the end of the quarter. But we had about $900 million of excess cash in our balance sheet at the end of the quarter, and that negatively impacted our TCE by about 30 basis. So without that excess cash, it would have been $885 million. We've already used that excess cash to pay off about $950 million of FHLB advances during the first few weeks of April, and those were at an average rate of $485 million.  Our net interest income for the quarter increased $22 million over last quarter, at $112 million from the first quarter of last year. In comparison our interest expense increased $34.5 million this quarter compared to $73 million -- I'm sorry, compared to last quarter and then $73 million when you compare it to the first quarter of last year. So our net interest margin remained strong at 3.76%.  Our yield on earning assets increased by 34 basis points, while our total funding cost increased 65 basis points. So our margin declined 27 basis points, and there was really 3 contributing factors there. First, we had about 18 basis points of the compression due to the negative deposit mix that was non interest-bearing in kind of transitioning to interest-bearing. We had 14 basis points of beta catch-up and that's typical when you near the end of the cycle. And then, those 2 negatives were offset by 5 basis points of expansion because of higher loan yields and average balances.  Due to the competitive pressures and the banking turmoil event in March, we've been more aggressive with raising deposit rates this quarter. However, looking at our cumulative deposit beta, it has still been 23%, which is exactly in line with how we modeled it, and when we started the cycle at 23%.  We continue to be slightly active sensitive with NII increasing less than 2% in a 100 environment, as we've been programmatically repositioning our balance sheet closer than neutral. And remember, we started this cycle with about 7% asset sensitivity. So we've definitely worked to get closer to neutral there. And we've updated the interest rate sensitivity information on Slide 10.  Total noninterest expense increased $4.5 million in the first quarter, all of which was due to cyclical payroll taxes and 401(k) matching contribution. Our team did a great job watching expenses, resulting in an adjusted efficiency ratio of 51.99%.  We continue to look for expense reduction opportunities, and we still believe we can maintain an efficiency ratio below 55% this year, and into 2024. On the balance sheet side, we ended the quarter with total assets of $26.1 billion compared to $25.1 billion, at the end of the year. That $1 billion of growth was really due to cash on liquidity of $900 million that we already spoke about. And then, loan growth of about $142.6 million. That represents an annualized loan growth ratio of 2.9% for the quarter.  And we are slowing our loan growth expectations to low to mid-single-digit growth, and we plan to use deposit growth, as our governor on loan growth.  Our deposits grew $434.7 million or about 8.9% annualized, ending at $19.9 billion compared to $19.5 billion at the end of last year. Excluding the $1.1 billion growth in brokered CDs, deposits were reduced by about $675 million.  And while there are a lot of ebbs and flows within that, really, we had about $400 million of that with expected and usual cyclical municipal and ag outflows that we always have in the first quarter.  And then, the remaining was really about $200 million of deposits that were just normal business or the businesses were sold, something happened to the business.  So we've really only had about $70 million of declines of deposits going out, where they were going to higher rates, mostly investment type of brokerage accounts.  The majority of the decline in noninterest-bearing this quarter was an internal movement from noninterest-bearing to interest-bearing and some of the deposit -- some of the banking turmoil really sparked customers look at their rate.  We saw very little movement noninterest-bearing deposits actually [indiscernible] Bank. And our total noninterest-bearing deposits still represent about 36% of our total deposits. Our deposit base is well diversified, and no single depositor represents over 1% of deposits.  And our uninsured uncollateralized accounts have remain stable and they actually improved this quarter to just under 30% at 29.5% of total deposits. So with that, I'll wrap it up and turn the call back over to Bruno for any questions from the group.
Operator: [Operator Instructions]. We have our first question from Casey Whitman from Piper Sandler.
Casey Whitman: Maybe we could start out with just the margin. Can you walk us through sort of the margin maybe by month or at least, where the margins sort of ended the quarter either in March or at the very end, if you have it? And just, so we can sort of get a sense of where we're starting for second quarter?
Nicole Stokes: Sure. So for kind of the month of March, we were in the mid-360s, about 3.63%. So if I'm guiding margin, and I want to make sure everybody realizes that the biggest contributor to margin at this point is the mix of deposits. And so, that's kind of the -- say the wild card in this.  But assuming that we can maintain our mix, and it has slowed, and so the shift from noninterest-bearing to interest-bearing has slowed. So assuming that, we can keep that mix -- and assuming that the margin stays flat from March, we would be looking at about a 15 to -- 15 to 20 basis point compression in the second quarter, assuming deposits remain at the same mix, that we have today.
Casey Whitman: Okay. And is the assumption that you could sort of hold that the back half of the year? Or do you think, we should maybe even assume more compression from there?
Nicole Stokes: So I think, it's a great point. And I think, we've been talking about that the longer that the Fed holds that the tighter the margin is going to get just because more customers are -- we're just going to continue to see that deposit pressure on the deposit pricing.  I mean everybody is fighting for the same deposits today. So, I do think that a lot of it depends on the Fed, but if the longer they hold, I think we could have some room kind of going into the third and fourth quarter for additional compression.
Casey Whitman: Understood. Switching gears, can you just -- can you remind us sort of your threshold for how big you would let that equipment finance loan book get and sort of how that applies to the new updated loan growth guide you just gave? -- sort of how much growth would come out of that particular group?
Palmer Proctor: Yes. What we've said from the very beginning is we've never exceed more than 10% of our balance sheet.  But the other thing, too, that Nicole touched on in her comments is that one of all the things across the board that we're looking at is we're not going to allow loan growth to outpace deposit growth.  So that will be our governor going forward. So even though there's additional capacity there to go up to 10% that doesn't necessarily mean, we would get to 10%, if we don't have the deposit strength to support it.
Operator: Our next question comes from Christopher Marinac from Janney Montgomery Scott. Please go ahead.
Christopher Marinac: Nicole and Palmer, I just want to add on to the [indiscernible] question that Casey asked. If longer term and intermediate rates back off, which they have been lately. Does that help at all? Or is it much more tied back to the Fed funds rate given what you were just saying a second ago?
Nicole Stokes: No, it really is the Fed funds rate, is the latter of those two options.
Christopher Marinac: Got it. Okay. And then back to the Equipment Finance area, what would be a good loss rate from that area? And I presume that, that's driving a little bit of the charge-off change we saw this quarter?
Palmer Proctor: It was predominant in the charge-offs this quarter. The loss rates, we looked at over the due diligence period we had -- I think their high period was in the 3s. The losses that we had this quarter are somewhat indicative of some of the collateral that we had, specifically some light-duty trucks that are just sort of getting a little bit hammered in the marketplace. But overall, we did forecast when we did due diligence, an increase in our loss rate for that purpose.  And so, we expected some increase in charge-offs just because that was how we modeled it. Just remember that the division continues to perform at the higher end of the contribution pretax pre-provision. So kind of that net spread is still pretty positive for the bank overall.
Christopher Marinac: Great. Yes, that was going to be my other question, that -- so you're happy with the spreads there. And in general, is the new loan yield going on kind of rationing up with the overall portfolio? Or is it even going up faster than the overall Ameris loan portfolio?
Palmer Proctor: It does ebb and flow depending on the kind of quality that we put in there, but it's been -- it's remained in double digits throughout the first quarter. So it's not outpacing necessarily the rest of Ameris, but it's certainly keeping pace with the market.
Christopher Marinac: Great. And then just last question. This has to do with the build in the allowance. From here, do you feel there's flexibility on provision just given that you've grown the reserves a lot, this past quarter?
Nicole Stokes: Sure. I'll take that one. So the thing is when you look at the -- when you look at the model, we used the CRE pricing index and the home pricing index within our model. And what really happened to do, we had a quarter that fell off this quarter of good CRE pricing forecast. And we added that rolling quarter added a quarter that was not good.  So, it really has to do with the next kind of -- it's the same anomaly. I think what you're asking is the same anomaly going to happen next quarter. And right now, we do not anticipate that being as severe.  Now obviously, Moody's forecast will update between now and then. But assuming that the CRE pricing index doesn't fall further, or the forecast for that doesn't fall further, I would expect that, that reserve build is fairly complete.
Operator: Our next question comes from Brady Gailey from KBW.
Brady Gailey: One more question on the reserve build. Was there anything in Ameris' results that drove the reserve growth? I mean, when I look at your asset quality, it looked fine in the quarter. So is there anything that you're seeing that makes you more cautious to build the reserve here?
Palmer Proctor: No, there's not. What we're seeing is pretty reflective of what you see in the results in our credit there. And this was, I think, a prudent move on our part, driven by model and nothing more than that. That answers your question.
Brady Gailey: Yes. And then, with deposits being the governor on loan growth, I mean, you guided to low to mid-single-digit loan growth. Should we expect that same level of growth on the deposit side as well going forward, low to mid-single digits?
Nicole Stokes: Yes, kind of that 3% to 5% Obviously, we would love to grow deposits more than that, specifically noninterest-bearing, but I think at this point, our internal goals and projections are that 3% to 5%.
Brady Gailey: All right. And then last for me, just on mortgage. That revenue bounced back a little bit in the quarter. I know, the gain on sale margin recovered, although it's still pretty low. Any thoughts on your forecast for mortgage for the rest of the year?
Palmer Proctor: Yes. I would tell you right now, we're pretty bullish on what we're seeing for this quarter, and this is spring season, which traditionally, there is seasonality to this business. We said last quarter is kind of reverting back to that outside of any economic issues that may come up. But right now, pipelines are pretty solid. The margins are improving. And that's the other thing that's really the highlight of this company, too, is when you look at compression on margin, our ability to generate noninterest income through areas like premium finance through areas like mortgage.  It just shows you the actual benefit of diversification. So, a lot of it is mortgage fees that we generated this quarter allowing us to offset a lot of that decline that we saw. So I think, mortgage will continue at least for the immediate future to be pretty consistent with what you saw this quarter.
Operator: Our next question comes from David Feaster from Raymond James.
David Feaster: Maybe just following up on the growth side again. First of all, I'm just -- I'm curious where new loan yields are, if we exclude Balboa. And then, maybe where do you expect growth to be driven by? Where are you seeing good risk-adjusted returns at this point?
Palmer Proctor: Well, I would tell you, equipment finance is a different -- obviously a different [indiscernible] as you touched on. But in terms of the growth opportunities, we're still seeing some meaningful opportunities in our commercial book and the C&I book.  The upside to it for all banks from what we're hearing and seeing and now from the competition is that we're able to be a little more selective in terms of pricing and expectations with equity and deposits.  And so most of the coming on rates that we're seeing in the commercial book are 7% plus, which is very encouraging to see, especially if there are deposits associated with that meaningful deposits.  So that's really where we see additional opportunities. And one of the things that we are actually spoiled with, is being in the Southeastern growth markets because when you look at Florida and Georgia and the Carolinas, there's still activity out there. People are being more cautious, but that's really where we see more of the opportunity, as we go forward.
Nicole Stokes: And then David, those coming on rates kind of the -- those coming on rates in the first quarter on excluding the kind of Balboa in the lines of business, total production was at about 8.72%, and that was split, fixed rate was 9.40% and variable rate was 7.68%.
David Feaster: That's helpful. And that 8.72%, that's including Balboa or that's excluding Balboa?
Nicole Stokes: That's excluding the Equipment Finance.
David Feaster: Okay. Wow. Okay. And then obviously, there's a hyper focus on CRE at this point, I'd just love to get kind of what are you seeing in that book? I appreciate all the color that you guys put in this slide deck. Obviously, you've got tied underwriting standards, low LTVs and all those kind of things.  But I'm just curious, as you look out, is there anything that you're seeing, maybe segments you're avoiding or watching? Are you tightening standards there? And -- or on the other side, I mean, as a lot of other banks are totally back, does that create an opportunity for you all, and maybe give you some more pricing power and opportunities?
Palmer Proctor: Well, the -- from the perspective of opportunities, as Nicole mentioned, I mean, our opportunities will be governed by the ability for loan growth or deposit growth. So -- the short answer is yes, we are seeing opportunities. Some of that pullback or that tightening you mentioned it's not requiring us necessarily to change any underwriting parameters.  It's somewhat of a natural tightening just because in the rate environment we're in, things that may have been acceptable at a or a rate, you've got to rightsize that again at going in rate of to . So some of that is kind of self tightening just because of the underwriting that's being done in the rate environment.  But, I don't think you see us necessarily shying away from anything that's not sort of already in the marketplace. We -- our office portfolio is, I think, in good shape, but it's not necessarily something we're out looking for new business on. And right now, we put out a call for our folks to do more owner-occupied, and they responded and you saw that in our slides also.  So we've got several lines that help us to not have to rely on CRE projects in this kind of winter of CRE. So that will help us to continue with overall loan growth, but not having to see it necessarily come from CRE loans.
David Feaster: Okay. That's helpful. And then maybe just touching on the noninterest-bearing deposit front. I appreciate the commentary on it really being a migration line here.  We're not seeing any customer attrition or anything. But I'm just curious, have you seen NIB balances start to stabilize here, early in the second quarter? Obviously, it's a bit of a seasonally weak quarter with taxes and those kinds of things. But -- are you still seeing that migration or clients maybe utilizing cash to pay down higher-cost floating rate debt? And then, do you think that NIB composition can kind of hold here in that mid-30 realm, mid-30% realm?
Nicole Stokes: I think, the pressure is still there. And we're doing everything we can to retain those deposits. Has it slowed? Absolutely, but is the pressure still there, yes. And are we having the conversations with customers? Yes.  David, I need to correct something that I said, when I gave you those rates, that did include the Equipment Finance. So I need to give you the bank only rate, I apologize for that. Fixed was 6.35%, variable with 7.68% and all in with 7.17%. I looked at the wrong chart, I apologize.
Palmer Proctor: [indiscernible] which is a good one. There are a lot of people with excess cash balances that are utilizing their own cash rather than borrowing money at the 7-plus% rates, too. So I think a lot of the pressure that we're going to see going forward as an industry. I think, a lot of the movement has already taken place for people looking for higher yields on excess cash.  But also, you're going to see a lot of that excess cash being put to use as opposed to paying higher rates on their borrowings. So that will be a new challenge out there that we'll have to face especially in the -- obviously on the commercial front.
Operator: [Operator Instructions]. Our next question comes from Russell Gunther from Stephens.
Russell Gunther: On non-interest expense side, really good results this quarter. You guys talked about pretty intense focus there. So could you share some thoughts around run rate expectations going forward?
Nicole Stokes: Sure. So we do expect some slight increases, mostly in the salaries and benefits section. But we really do have a very tight expense control discipline. And we are looking at every expense. There's the continuation of things to look at, including leases, including travel, just other categories that we continue to look at.  Looking at projects and deciding what is a need versus a want, and what needs to be done versus what can maybe wait 3 to 6 months. So we are certainly continuing to do that. So I would say slight -- when I say that, I'm prefacing taking out mortgage from that because, obviously, as mortgage production could potentially ramp up or expect to ramp up in the second and third quarter from the normal cyclicality. We'll have some increased commissions there. Some of their variable costs, but for everything else outside of mortgage, it's a low 3%-ish increase.
Russell Gunther: Okay. That's really helpful in the core. And then, just last one for me. You guys have really solid capital levels on a TCE basis as well. Just thoughts on the buyback here. And getting more active.
Palmer Proctor: Yes, it's awfully tempting at this kind of currency price, where we are today. And that's certainly an arrow we have in our quiver, and it's certainly something that we'll give consideration to, in this next quarter.
Operator: We currently have no further questions. So, I would like to hand back to Mr. Palmer for closing remarks. Please go ahead.
Palmer Proctor: Great. Thank you, Bruno. I'd like to thank you everybody again for listening to our first quarter 2023 earnings results call. Our discipline in creating diversification in both the loan and deposit franchise, as well as our revenue streams has positioned us well for the future.  Our well-capitalized balance sheet remains strong with a healthy reserve for credit losses, stable core deposits and a well-designed liquidity plan. And all of this, really allows us to produce stable top-of-class financial results.  Thank you again for your time and interest in Ameris Bank.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Thank you.